Operator: Good day and thank you for standing by. Welcome to the Kohl's Corporation Q3 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session.  I would now like to hand the conference over to your speaker today, Mark Rupe, Vice President, Investor Relations. Please go ahead.
Mark Rupe: Thank you. Certain statements made on this call, including projected financial results and the Company's future initiatives are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Kohl's intends forward-looking terminology, such as believe, expects, may, will, should, anticipate, plans, or similar expressions to identify forward-looking statements.  Such statements are subject to certain risks and uncertainties, which could cause Kohl's actual results to differ materially from those projected in such forward-looking statements. Such risks and uncertainties include but are not limited to those that are described in Item 1A in Kohl's most recent annual report on Form 10-K and as may be supplemented from time-to-time in Kohl's other filings with the SEC, all of which are expressly incorporated herein by reference.  Forward-looking statements relate to the date initially made, and Kohl's undertakes no obligation to update them. In addition, during this call, we will make reference to non-GAAP financial measures, including free cash flow. Information necessary to reconcile these non-GAAP financial measures can be found in the investor presentation filed, as an exhibit to our Form 8-K filed with the SEC and is available on the Company's Investor Relations website.  Please note that this call will be recorded. However, replays of this call will not be updated. So, if you are listening to a replay of this call, it is possible that the information discussed is no longer current and Kohl's undertakes no obligation to update such information. With me today are Michelle Gass, our Chief Executive Officer, and Jill Timm, our Chief Financial Officer. I will now turn the call over to Michelle.
Michelle Gass: Thank you, Mark. Good morning and welcome to Kohl's third quarter earnings conference call. Our strategic effort to transform Kohl's into the leading destination for the active and casual lifestyle continues to gain traction. We delivered another outstanding performance in the third quarter, continuing our momentum from the first half of the year. During today's call, I want to leave you with 3 things.  First, we achieved record Q3 earnings and raised our full-year outlook, resulting in an all-time high EPS for the Company. Q3 sales increased 16% to last year, and our operating margin was a 9-year high of 8.4%, benefiting from our actions to structurally improve our profitability. Second, our efforts to reposition Kohl's are working. Active sales growth accelerated in the quarter, led by our key active national brands.  And we launched several new transformational brand partnerships across the business, including the rollout of the first 200 Sephora at Kohl's stores. While having very little impact to this quarter, given the timing of the launches, we are pleased with the early results and what this means going forward.  And third, we are accelerating our share repurchase activity, reinforcing our commitment to driving shareholder value, and now expect to repurchase $1.3 billion for the year. We see a lot of value in our Company and believe repurchases are a great mechanism to return capital to shareholders, given our promising outlook and formidable cash position of $1.9 billion. All of the pieces of our strategy are coming together and we remain incredibly confident in our future. As we look ahead, we are focused on building on this year's success. We are positioned to exceed most of our 2023 goals this year and we look forward to sharing an updated financial framework at our Investor Day on March 7, 2022.  Now I'll cover a high-level overview of our third quarter performance, an update on the progress we're making against our strategy and our approach to the holiday season. Jill will then discuss our Q3 results in more detail and updated 2021 financial outlook.  Let me add a little more color to our Q3 results. Our 16% sales increase was the result of strong performance across both stores and digital. We continue to be encouraged with how the channels reinforce each other together, delivering an exceptional customer experience through a seamless omnichannel integration of offerings and conveniences. Store sales increased double-digits and continue to be the principal channel for new customer acquisition. And we're very excited by the significant growth we are seeing in omnichannel customers, which are the most productive customers. Digital sales remain strong in the quarter growing 6% to last year, and increasing 33% on a 2-year basis. As a percentage of total sales, digital was 29% in the quarter.  From a category perspective, our investments in active continue to pay off. This is most evident in the broad strength we're seeing across our differentiated portfolio of national and private brands. Active sales significantly outpaced the Company, growing more than 25% to last year and more than 20% on a two-year basis. We're seeing strength across the board in men's, women's, and children's apparel, as well as in footwear. Of note within active apparel, we are especially pleased with the traction we're gaining in athleisure and inclusive sizing.  From a brand perspective, our key national brands of Nike, Under Armour, Adidas, and Champion, all delivered exceptional growth. In addition, our more value-oriented, Active private brands also continue to perform very well. Tek Gear achieved solid, double-digit growth and we continue to be pleased with the customer response and sales of our new athleisure brand FLX, which we expanded to more stores late in the third quarter.  Active is now one of our largest areas of business representing 26% of our Q3 sales, and we remain confident in our ability to maintain our growth momentum. Looking ahead, we expect Active will continue to benefit from increased in-store space and it's front-of-store positioning in locations with Sephora at Kohl's shops. We also continue to experiment with new merchandising to elevate the active category in our stores.  Some of our other highlights in the quarter include men sales increasing more than 30% to last year, and footwear and accessories both up more than 20%, and children's up low double-digits driven in part by strong demand for toys. We saw very strong growth on both a 1 and 2-year basis for many of our key private brands and national brands across all categories. For our private brands, these included Sonoma, SO, Apt. 9 and Jumping Beans. And notable performers beyond active in our national brands include Levi's, Vans,  (ph), Ninja, Shark, Koolaburra by UGG and Hurley.  I will now provide an update on the progress we're making against our strategy. As I indicated, all the pieces of our strategy are coming together. Our investments to strengthen our product assortment, and enhance the shopping experience, have improved our relevancy with core customers, and are driving new customer acquisition. Let me start with Sephora. As we've said from the beginning, this is a game-changing partnership for us. Consistent with our strategy, Sephora adds tremendous credibility to Kohl's as a more useful, upscale, and modern retailer.  We are thrilled with the early response we are seeing from our initial opening of 200 Sephora at Kohl's shops. I know many of you are interested in hearing more specifics on how the shops are performing. So, I'm happy to provide you with some preliminary results. In short, Sephora at Kohl's is working. First, Sephora is driving extraordinary growth in our beauty business.  Second, we're seeing an incremental mid-single-digit sales lift to the overall store sales, where we have launched. Third, we are bringing in new customers, more than 25% of Sephora at Kohl's shoppers are new to Kohl's. They are younger and more diverse. And we are successfully driving loyalty sign-ups. Fourth, we're pleased to see customers purchasing across a wide range of beauty categories and price points. The assortment is resonating. And lastly, customers are shopping across the store. Roughly half of all customers buying Sephora are attaching at least one other category in their purchase across all of our lines of business. We've already started to see customers return, which is encouraging and is expected to build as they get to know Kohl's. From the outset, this partnership was structured to drive joint success, and we couldn't be happier with how our teams are collaborating. These early results are very encouraging. And as we build out the fleet, this initiative will have a significant positive impact on our growth trajectory and brand relevance. Looking ahead, we'll build on our success, as we continue the store roll out.  Planning is underway for the additional 400 Sephora at Kohl's openings beginning in late spring 2022. In addition, we will open 250 in 2023. As we renovate our stores for the Sephora build-outs, we are also making investments to elevate the overall store environment. This includes re-flowing our categories to deliver against our new strategy as an active and casual destination.  Better use of space for mannequins and storytelling and overall updates to the store. As we've rolled out this updated experience to our first 200 stores, the customer feedback has been extremely positive. As part of this, we are injecting more discoveries, leveraging flexible space behind the Sephora shop, which showcases a rotating assortment of emerging brands.  Yummy sweaters are currently positioned in this space for holiday and we're excited to use the space to debut in exclusive Draper Jeans capsule collection this spring, a brand founded by Reese Witherspoon. I now want to share a quick update on our recent new brands introductions of Calvin Klein, Tommy Hilfiger, and Eddie Bauer.  We introduced Calvin Klein basics and lounge wear in 600 stores in mid-September and added Tommy Hilfiger men's sportswear in 600 stores in early October. And in late October, we began offering Eddie Bauer in 500 stores, expanding our presence in the outdoor category, and building on our investments in momentum with Columbia and Land's End. While it's early, we are extremely pleased with the initial results of these new brands.  Collectively, they are exceeding expectations and customers are delighted to be able to get these iconic brands at Kohl's. I now want to provide a quick update on Women's. As we've discussed on prior calls, we are deeply committed to reigniting growth in our Women's business, and have implemented a number of bold actions.  We completely reset the brand portfolio to improve overall clarity and shop-ability and strengthened our differentiation by amplifying key private brands like Sonoma, while selectively introducing relevant national brands. We are pleased with the leading indicators and the underlying trends.  Customers are responding very well to our go-forward key brands and metrics such as sell-through, inventory turn, and margin are at multi-year highs. However, receipt delays have impacted the women's business disproportionately, hindering our ability to drive overall growth to our expectations. We continued to work aggressively to address the situation, but acknowledged with the supply chain challenges will likely continue to present a headwind.  So let me touch on these supply chain challenges, and what we're doing to address them. Like many, our business has been impacted by extended transit times resulting in inventory receipt delays, and significantly higher transportation costs. The most visible evidence of this can be seen in our inventory level at the end of Q3, down 25% on a 2-year basis.  While we planned inventory to be down this year as compared to 2019, aligned with our strategy to drive margins and turnover, our levels remain below that original plan. We have aggressively implemented a number of measures throughout the supply chain to mitigate and minimize production and transit delays. We also made sure that we protected new brand receipts and inventory tied to key promotional events.  While it will take time for our inventory to rebuild, I'm confident that the team is doing everything they can to mitigate the supply chain challenges as effectively as possible. And as Joe will speak to later, this is incorporated into our outlook. As a result of these actions, we are well-positioned for the holiday season with fresh receipts continuing to flow to support anticipated customer demand.  Now let me touch on some of our holiday plans. We are once again excited to deliver an inspiring and welcoming shopping experience for our customers this holiday season, knowing it will look and feel a little more normal. Friends and families are planning more in-person celebrations, which has influenced how we're approaching our holiday strategies this year.  From a product perspective, we are focused on amplifying key areas where we already have momentum. Active and cozy for the entire family, home, toys, and discovering and gifting are already in high customer demand. We have also positioned our holiday gifting area at the front of the store in a majority of our chains to better capitalize on traffic.  In addition, we are pleased to offer Sephora and many of our other new brands to our customers for the first time this holiday season. Kohl's is known for providing great holiday value and this year will be no different. We officially kicked off the holiday season with our Black Friday preview event in early November, and we're very pleased with the results.  So, we're off to a great start this quarter, and we are looking forward to continuing to engage our customers by bringing both product and promotional newness throughout the holiday season. We will also support anticipated strong digital demand with our best-in-class omni capabilities, including an expanded number of drive-up parking spots for customer pickup, and continuing to leverage our stores to help fulfill digital orders over the holiday season.  Before I hand it off to Joe, let me summarize my comments today. As you've heard, we are making great progress against our strategy and navigating what continues to be a unique operating environment. Q3 represented another outstanding quarter for the Company. Continuing our momentum from the first half of the year.  And our updated annual guidance positions us to exceed most of our 2023 goals, 2 years ahead of plan, and achieving all-time record earnings per share. Over the past 12 to 18 months, we have executed a major transformation of the Kohl's operating model. Repositioning the business for sustainable future growth and improved profitability.  We're making tremendous progress in enhancing the relevance of the brand. We have strengthened our product portfolio with the addition of many highly regarded national brands and have elevated our private brands with more clarity. We launched an industry renowned beauty partnership with Sephora, and we improved the overall customer experience through merchandising enhancements, and new omni capabilities.  Looking ahead, we are in a very strong financial position and are incredibly confident in our future. This is evident in our actions to continue accelerating share repurchases. Our business has momentum and we are focused on building on it as we move through the fourth quarter and into next year.  In closing, I want to express my sincere gratitude to all of our associates for their unwavering commitment to our Company. We appreciate all that you have done to prepare us for this key holiday season, and all that you do every day to deliver a great experience to the millions of customers who choose Kohl's. With that, I will now turn the call over to Jill, who will provide more details on our financial results and updated guidance.
Jill Timm: Thank you, Michelle, and good morning, everyone. I want to start by reiterating Michelle's sentiment. We delivered another great quarter and continued to gain traction on our strategic initiatives. I am incredibly proud of our action to reposition the business for future growth and drive improved profitability. For today's call, I am going to review third quarter results, discuss our capital allocation actions, and then provide details on our updated 2021 guidance outlook.  For the third quarter, net sales increased 16% to last year, and were slightly ahead of 2019, driven by growth in both our stores and digital businesses. Other revenue, which is primarily credit revenue, increased 17% over last year. Turning to gross margin, Q3 gross margin was 39.9% up 408 basis points from last year, driven by our inventory management efforts and our pricing and promotion optimization strategies, offset partially by incremental transportation costs, related to the constrained global supply chain.  Now let me discuss SG&A. In Q3, SG&A expenses increased 6% to $1.4 billion driven by the double-digit top-line growth. As a percentage of revenue, SG&A expenses leveraged by 273 basis points to last year as we continue to deliver against our efforts to drive marketing and technology efficiency, and improve store labor productivity, which more than offset increased wage pressure across our stores and distribution centers.  Our strong margin and SG&A performance translated into an 8.4% operating margin. This was a 9-year high for the third quarter and represented an increase of 734 basis points to last year and an increase of 403 basis points to 2019. Last, let me touch on some additional financial items. Interest expense was $12 million lower than last year, due to lower average data outstanding during the quarter.  Net income for the quarter was $243 million and earnings per diluted share was a Q3 record of $1.65. Turning to the balance sheet. We continue to be in a strong financial position. In late October, we made our final move to return our balance sheet to its pre -pandemic structure by migrating back to a $1 billion unsecured cash flow based revolving credit facility.  We ended the quarter with $1.9 billion of cash and cash equivalents and no outstanding balance on our revolver. Inventory at quarter-end was 1% higher than the prior year and down 25% 2019. However, our available for sale inventory, was down more than this, given higher and transit inventory, with women disproportionately impacted.  The industry-wide supply chain challenges continue to impact our ability to rebuild inventory to desired levels. On the positive side, our inventory composition remains very clean and turnover marked a 10-year high. Turning to cash flow, year-to-date we have generated operating cash flow of $1.8 billion, and free cash flow of $1.3 billion.  Capital expenditures were $426 million year-to-date, driven by in-store investments related to the Sephora build-out, refreshes and other customer experience and sales driving enhancements as well as a new e-commerce fulfillment center opened earlier this year. In addition, we continue to expand our small format store concept, opening four new stores at the beginning of the Fourth Quarter.  Based on our current outlook, we now expect CapEx spend to come at the high end of our $600 to $650 million range. Now let me discuss our capital allocation actions. During the third quarter, we accelerated our share repurchase activity, repurchasing more than 10 million shares for $506 million. Here to date, we have repurchased 15.6 million shares for $807 million.  We plan on continuing our accelerated share repurchase activity with an additional $500 million in Q4, bringing our total for the year to $1.3 billion. As announced last week, our Board of Directors declared a cash dividend of $0.25 per common share. The dividend is payable on December 22nd to shareholders of record at the close of business on December 8th.  Taken together, we have returned a total of $921 million to shareholders through share repurchases and our dividends during the first 3 quarters of 2021. Turning to our guidance outlook for 2021, based on our strong third quarter performance, we are raising a full-year outlook and our guiding as follows. Net sales increased in the mid-20s percentage range up from our prior expectation of low '20s percentage increase.  Operating margins to be in the range of 8.4% to 8.5% up from our prior expectation of 7.4% to 7.6% these positions us to exceed the high end of our 2023 operating margin goal of 7% to 8%, 2 years ahead of plan. And EPS to be in the range of $7.10 to $7.30, excluding non-recurring charges up from our prior guidance of $5.80 to $6.10. This guidance represents an all-time EPS high for our Company.  Let me provide some additional context on our implied guidance for fourth quarter. For sales at the midpoint of our full-year 2021 guidance. It implies a fourth quarter sales increase in the low double-digit percent range relative to 2020. For operating margin, our full-year 2021 guidance implies a fourth quarter operating margin of approximately 6.6%, which is an increase of 140 basis points compared to 5.2% last year.  Embedded in our guidance are incremental headwinds totaling more than 350 basis points as compared to the same period in Q4 2019. These include higher digital penetration, rates and holiday surcharges, and higher wages and incentives. Lastly, as a reminder for comparison purposes, last year's fourth-quarter 2020 EPS included $1.15 per share of incremental tax benefit driven by the tax planning strategies.  In summary, we are really pleased with our third quarter results and the progress we're making against our strategy. As you've heard today, our business has clear momentum, and we look to build on it as we close 2021 and enter the New Year. As Michelle indicated in our opening remarks, we plan to host an Investor Day on March 7th, 2022.  We will review our overall strategy and update our long-term financial framework given that our strong performance in 2021 positions us to exceed many of our current 2023 goals. We're happy to take your questions at this time.
Operator: As a reminder, if you would like to ask a question, . And your first question comes from Bob Drbul with Guggenheim Partners.
Bob Drbul : Hi, good morning. Congratulations.
Michelle Gass: Good morning. Thank you, Bob.
Bob Drbul : A couple of questions on the Sephora piece. I'm hoping you can help us. You talked about strong initial response with an acquisition of younger, more diverse customers. Do you have any idea of how many can you quantify? How many new customers you have seen so far? That's part 1. Part 2 would be can you talk about the AUR at Sephora versus your expectation? And then part 3 would be the comps of Sephora stores versus non-Sephora stores?
Michelle Gass: Sure, Bob. There's a lot in there. First of all, we're super pleased with what we're seeing with Sephora. I mean, you have to remember, we're literally just weeks into the launch. 200 doors, the Sephora site on our website, and to me this was introduced as flawlessly as it could be. To your specific question, the results are really positive.  So first off, if we look at our Sephora doors versus the non-Sephora doors, we're seeing about a mid-single-digit comp lift through those stores. So, we are seeing that incremental lift to the overall stores, which is really encouraging. Again, given that we're in the early days, and we expect it to build over time.  I think not unlike when you are building a new store and you have a couple of years of growth ahead of you, I'd say we and Sephora both expected this will grow over time as customers, whether existing or new, really discover the shops. So, that's point number 1. As it relates to new customers and more than 25% of Sephora shoppers are new, they are younger, they're more diverse, and it's meaningful. It is meaningful. And again, you have to keep this in context. It's only 200 doors. So, when we're up over 600 next year, you can only imagine the millions and millions of customers that we're going to be introducing, so it's already meaningful and that will only grow.  In terms of your question on AUR on Sephora assortment. I mean, it's really strong as you'd expect. This is prestige, beauty into categories that we've really never offered to this level. I think really the encouraging thing is that we are seeing our customers, whether it's existing or new, shop across the assortment and Sephora has done a phenomenal job curating a real breadth across categories and within categories. So, I think some noteworthy ones on the makeup side would be brands like Fenty and Too Faced, NARS. And then Sephora collection, which is more of your more entry price point. Skincare, kind of a real noteworthy one for me is Tatcha, I think it's such a great brand, it’s doing really well. Hair care, Olaplex has been phenomenal. And then even on the fragrance side, I mean we are seeing brands like Gucci and Armani really resonate. So really, I mean, on every level, Bob, we couldn't be more pleased with the launch.
Bob Drbul : Great, if I could just ask one more question. In terms of collabs, one of the ones that I think seems to have a big opportunity is the Lauren Lane x Sonoma collab. I was just wondering if you could talk about how that's gone for you and sort of the opportunity that you see with that. Thanks.
Michelle Gass: Great question. Actually, I love that capsule for us. And where are you hitting on is Sonoma being a key go-forward brand for us. It's performing exceptionally well in the women's business and it’s offering those core essentials and that bit of discovery. I happen to own the ribbed sweater dress in the collection, Bob. So again, the product is phenomenal and, I think this is just the early indication of what you can expect to see on the women's business going forward.
Bob Drbul : Okay. Thank you very much.
Operator: Your next question is from Blake Anderson with Jefferies.
Blake Anderson: Hi, good morning. Thanks for taking the question. Quick housekeeping one, maybe I missed it, but for your 4Q guidance, did you give any breakdown on below the line assumptions like interest or periods if that includes any buyback as well?
Jill Timm: Sure. We didn't give specificity in Q4, but I would say as for interest D&A,  (ph) run rate you saw in Q3. And then obviously the buyback we announced, we will be doing another $500 million in Q4 to bring our total for the year to $1.3 billion.
Blake Anderson: Got it. Okay, thanks. And then, I appreciate all those Sephora commentaries, that's really helpful. I was curious on the mid-single-digit sales uplift. Can you talk about how that's skewing between national and private label? And then how much of that is from the 25% of new customers versus existing?
Michelle Gass: Yeah. So, I can take that. I mean, first of all, again, I'll echo what I just said a moment ago. I think out of the gate, seeing that kind of incremental lift is incredible. As you'd expect, we're seeing beauty sales as I was speaking to earlier question, we're seeing that across a range of categories and brands. So, I would just say stay tuned. We wanted to share some of those really exciting data with you right out of the gate, but I'd say, stay tuned.
Jill Timm: Yeah. I would just add I think the basket outside of Sephora to what Michelle's point is beauty's very strong, but we're seeing that across really all our lines of business are benefiting. Obviously, with Sephora we also did the reflow of active to the front of the store. And as you heard, that was up 25% in a quarter, so obviously really resonating with the customer, but even more so when we give it that prominent positioning.  So, we're seeing them really shop across all brands and all lines of the business which has been great for us. And again, I think just to reiterate, Michelle's point. It's really only been opened 200 doors for a couple of weeks -- a few weeks, just about a month in total. So, I'm really pleased with the initial results and expect to build on it, especially as we move into the holiday season.
Blake Anderson: That's really helpful. One last one, I was wondering if you could maybe size up at all the women's revenue headwind from out-of-stocks. And if you'd be able to quantify that at all, how much that's impacting?
Jill Timm: I would say we are down 25% as an organization and women's is down notably more than that. So just really when you start looking at how you can drive that benefit and to take us back. We're in the midst of a transformation here. And so, when we exited 10 brands, that took a lot of inventory out of the ecosystem.  The newness as we had talked about when we did our Investor Day, was supposed to start in fall and that was really hard to chase back into given the supply chain disruptions although, I can't quantify it, I would definitely say it was a notable impact to their business, just given the fact that they were down so much more than the Company.
Michelle Gass: Yeah. No, I would just add to that and echo that women's is clearly very important to us. We embarked in the biggest, boldest transformation as Jill was just saying, we plan the year down. So, inventory being down 25% for the entire business, women's more so than that. With the strategy to chase, as we saw, really what were going to be the outstanding winners, we got lots of them.  As I was mentioning Sonoma, SO, Lauren Conrad, the newness, is working, whether that's within brands like collaborations or certainly the additions we've brought in like  which has had some time to really settle in, as well as we're excited about some of these new outdoor initiatives we're bringing in like Eddie Bauer.  So, the turns are really strong, they're multi-year high, the margin, multi-year high. And as we look forward, we have a lot of aggressive strategies in place to fill in the inventory. Our customer is really liking this new assortment that we have in front of her, we need more of it, is the bottom line.
Blake Anderson: Got it. Very helpful. Thank you.
Michelle Gass: Thanks.
Operator: Your next question is from Mark Altschwager, with Baird.
Mark Altschwager: Good morning. Thanks for taking my question and congrats on the momentum here. This profitability is outstanding.
Michelle Gass: Good morning, Mark.
Mark Altschwager: So, the new EBIT margin guide for this year, ahead of your prior longer-term goals sounds like we'll be hearing more of the early part of next year, but just any high-level thoughts you can share on that. I mean if -- you think maybe 2021 is sort of a new base case from what you could grow or is it fair to assume that there's perhaps some moderation as some of the consumer spending tailwinds moderate into, in the next year? Thank you.
Jill Timm: So, Mark, we can be more pleased with the progress that we made against our strategy this year. Obviously, this performance in 2021 exceeded our expectations. And I didn't point out, our guidance really puts us in a place that we're going to exceed our 2023 goals this year. We believe our business has momentum.  We have a lot of really great new initiatives that just literally set the end of Q3, and we're going to continue to build on that which gives us really great confidence on us being able to continue on this strategic mission of repositioning ourselves to grow more profitably going forward. So, you have our commitment for growth. You have our commitment to driving shareholder value, which hopefully you saw was reinforced with our share repurchase actions.  But as we look to 2022 and beyond, I guess I'm going to just ask for your patience and we really want to be able to share that with you in the Investor Day that we just announced that will happen in March, of early next year, and we'll give you a big update on what that long term framework looks like in light of the fact that obviously we just  some really great numbers this year.
Mark Altschwager: Thank you. And then stalling up on the supply chain front and you gave us a lot of detail on the women's piece. As we look into spring, what's your level of visibility on flows for some of your larger national brands?
Michelle Gass: Yes. So -- great question. The team has -- I will tell you the team has been all over this both on the proprietary brand and  on the national brands. First, I'd start up with active. So, we shared on the -- in our earlier -- in our comments that our active business was up 25% last year, more than 20% last year. And our inventory is in great shape. I mean, it's one of the categories that's actually in the best position.  We have phenomenal national brand partners, with Active and beyond. And so, but if I just take Active, given it's such a strategic priority for us, they've been terrific to helping us navigate. And again, you see that reflected both in the inventory numbers, but more importantly in the sales on Active. And we're working closely with them.  We -- like I said, we have a great partnership, we are certainly looking into planning as we look ahead for 2022 and beyond as we grow this business together. So, I will just say that we'll do everything we can to make sure that we can protect as many receipts as we can. And I think overall to the question, it's -- I mean, this has been a disruption for most retailers and we've been part of that as we're talking about the most dramatic impact in our women's business.  But the teams are aggressively planning as we look ahead into 2022. We do expect it to improve sometime over the course of the next year. We have front-loaded orders. We have moved production around. We're expediting delivery. We're really doing everything we can to where we have pockets where we're just to lean to get back into stock.
Mark Altschwager: Thank you. And best of luck over the holiday.
Michelle Gass: Thanks, Mark.
Jill Timm: Thanks, Mark.
Operator: Your next question is from Gabby Carbone with Deutsche Bank.
Gabby Carbone: Hi, good morning. Congratulations on the nice results. So, I want to say yes. So, one of the offsets to the supply chain pressure has been lower promotions, which has been the case across the industry. I was wondering if you could talk to us a little bit more about how you're thinking about pricing and promotion in the holiday and maybe into early ‘22.
Michelle Gass: Yeah, you bet. So, I would say, it's not just been about holiday, but how we price and promote, has been one of the key tenants of our overall strategy over the last year. And we built a lot of new muscles as it relates to capability. And it's really this blend of how we price our goods competitively and what level of promotion we do have. And that's worked.  And I think a good testament to that is the number of new customers we're getting driving a clearer price strategy. You never want to swing the pendulum one way or the other too hard, and I feel like we're really getting a good rhythm in place with our customers. So, as we look ahead for holiday, that time of the year is always promotional, but we expect our key strategies on pricing and promotion to carry through.  And the effectiveness of that and how the team has been driving it, that's really due to Q3 reflected in our very strong margin performance. We saw that in Q2 and Q3, and a direct contributor was around this pricing and promotion strategy.
Gabby Carbone: Got it. Thanks. Just a quick follow-up on your comments around the supply chain. Just wondering how much pressure you expect on gross margin in the fourth quarter versus what your kind of experienced here in the third?
Jill Timm: Sure. Gabby, I think I called out in the guidance for Q4 as we have about 350 basis points of pressure. I'd say the majority of that is going to hit in your gross margin. Looking at digital penetration, digital always out penetrates in Q4. When you look at our penetration versus 2019, that's up significantly and usually that's the high end of the range that we give in terms of the pressures we see for costs.  Typically, it's just more expensive when you have more going to the ecosystem. Freight surcharges, we saw them in 2020. Obviously, we didn't have them in 2019. That's an added pressure that  been there in Q3 at all.  And then of course, continuing with freights, we saw some of the freight pressure in Q3, but I would say that accelerate as we move into Q4 and we're really bringing in a lot of these holiday receipts are more real-time than we have in the past so that would accelerate. The other piece of it is obviously the wages which is probably the lesser part of those 350 points.  And that would hit SG&A, I would say we still expect to leverage our SG&A in Q4 if that's helpful despite the wage headwinds just given the focus that we've had on the efficiency both in our marketing A to S, as well as our store productivity continues to increase to help us offset some of those waging increases.
Gabby Carbone: Great. Thank you. Super helpful.
Operator: Your next question is from Chuck Grom with Gordon Haskett.
Chuck Grom: Thank you very much. Good quarter. On Sephora, Jill or Michelle, you talked about the 5% or mid-single-digit comp lift. I'm curious if that's built over the past couple of months. Delivering at the start, maybe in the little single digits, and it's now exceeding that. If I recall, Amazon, it took a little bit of time for that to build. Just curious if it's improving and I guess going forward, do you expect it to build higher than that level?
Michelle Gass: Yes. Chuck, Michelle here. Great question. Again, just as we said earlier, we're certainly still in the very early days of this, but to come out of the gate and see that result, really encouraged, but we do expect that to build over time.  And if you look at any example, you brought up Amazon, you'll get new stores, etc. We should have a very nice tailwind with that. A will get the tailwind because we're going to be opening more stores upwards of 850 over the next couple of years and then B, they call it comp lift that you have associated with that.
Chuck Grom: Okay. That makes sense. And then I'm sorry. Did you want to go Jill?
Jill Timm: It's really about traffic drivers. So, if you think about us only being open for really a full month in all of these stores, it's getting that recurring trip. So, I think as we've introduced this to customers, existing and new, we talked about a lot of new customers coming in through the Sephora partnership then we build on that.  So, I think that's really where we get excited about that next trip and we've had the conversation in the past. It's a replenishable item in Kohl's. So that's why we expect you to see that build happening overtime and just to reiterate, Michelle. But if you have comp stores, we know they build in comps over years. So that's always a benefit that we expect to see as we continue.  And then as we get more math’s and have those 400 doors starting to open early next year, and then finishing that out in 2023, we'll only build on that awareness as well, and that will give you a benefit not only to store, but also to the digital channel, as we've talked about in the past.
Chuck Grom: That makes a lot of sense. A lot opportunity for people to cross over is huge. So, I guess sinking up when the women's business or women's inventory levels gets back to normal, is pretty critical. So, are you guys thinking about timing that with the next batch of support as the 400 that are going to be opening?
Michelle Gass: Yeah. So, I'd say a couple of things to that. First of all, we are working as aggressively as possible to get back in stock on key brands, items, et cetera and the limit overall, but in the women's business in particular. So, we are expecting that we will see improvement in 2022. As we mentioned earlier, we're looking to be built -- well, we'll be building out our stores throughout the year, next year, but call it, late spring on the 400 doors beginning there.  And so, I think the timing will be good as we see improvement with women. But I think the second point more importantly is as we build out these Sephora shops, we're also taking the opportunity to refresh and redo the entire store.  We've done a lot on our entire store base over the last year, as you've seen, in terms of just new merchandising, more mannequins, more storytelling, more discovery, open aisles, more shop-ability, more inspiration overall. And we are getting nice marks from our customers on that. In the Sephora doors, we're also taking it a step further and re-flowing the stores.  So, putting our key strategies such as Active right at the front. And we're expecting that it's going to be a nice synergy between those brands, and of course Sephora. The discovery and -- discovery area if you will, adjacent to the Sephora shops, so that's where we'll be merchandising Draper James, the Reese Witherspoon collaboration that we're really excited about.  And then I think as we were talking about this Sephora, we expect that to build. I think the momentum on women will absolutely build. Like I said, the supply chain disruption really hurt us there because we penetrate 70% on private brands.  So, we've been most acute and we plan that business conservatively given we're going through this massive transformation. Where we see the winners, we're leaning in, we're chasing, and we're building inventory, Bob. So, we are anticipating that to improve in 2022 as we open these doors to your questions.
Chuck Grom: Okay. Great. And then one last one from me more near-term focused. Macy's just said that they thought they saw a little bit of a pull-forward into the month of October. Curious if you guys thought you saw about it and maybe there was some lift in the 15% comp from some pull forward. And then any thoughts on the past couple of weeks as we start up the month of November?
Michelle Gass: Yeah. Well, first I'd say for holiday calls, we're off to a great start. And we launched officially, if you will, holiday with our Black Friday preview event, which was in this quarter, which is the beginning of November. And we've got terrific response from our customers. And we saw it across the board, but in particular, we're excited that a lot of our key strategies, where we leaned in, especially on inventory like active, they are really responding.  So, I guess you can buy for yourself or you buy as a gift, but fleece works all the time. So active, doing well, cozy doing well, kids and notably toys doing well, with that business has been a small business for Kohl's historically. But we've been growing it and we have great brands now like LEGO, which is doing terrific.  The home category is really resonating, whether it's anything for the kitchen or like I said, cozy and the gifting areas. So, we're encouraged. We still have a lot of holidays ahead of us, but to come out of the gate strong with our products and our pricing really resonating. Next week is Black Friday. So, kind of view what just happened that the earlier the month a little bit of a teaser for that.  And I think this is also where our omni -channel strength comes into play. You may have folks digitally maybe ordering a little bit now. I can't really declare that per se, but I will tell you is shipping cutoffs happen in December. That's where the strength of our 1200 stores comes into play, and convenience is like curbside in BOPIS. So, I'm excited. We've only just begun, but we're off to a great start.
Chuck Grom: Awesome. Good luck. Thank you.
Michelle Gass: Thank you.
Operator: Your next question is from Paul Lejuez with Citigroup
Tracy Kogan: Thank you. It's Tracy Kogan filling in for Paul. I was hoping you guys could talk about what you're hearing from your customer and whether the customers starting to feel the effects, the receding effects of inflation and higher gas prices. And then what is your view on your ability to pass through your higher cost as you move through the year, or next year? Thanks.
Jill Timm: Hey, Tracy, I'll start and let Michelle add in. But I think we're all started. You know value as a coal tenant for coal. So, we're always going to ensure that we're delivering that to our customers.  We've talked a lot about the fact that we have a simplified pricing and promotional based and promote and I think that's worked for us this year, as you've seen, that as we move into next year as well and really work through what these pricing items can look like. Also, as a reminder, we have sourcing initiatives underway that we talked about that we looked to save about $125 to $175 million with.  This is really helping us manage through those inflationary pressures as well. We feel great with the ability that we've really worked through this year, and we're going to continue to leverage that muscle as we move into next year with how we price and how we promote to our customers to make sure that we continue to always deliver them value.
Tracy Kogan: Thank you.
Operator: Your next question is from Dana Telsey with Telsey Advisory Group.
Dana Telsey: Good morning, everyone and congratulations on the progress.
Michelle Gass: Thanks Dana. Good morning.
Dana Telsey: With the uptick in before that you've been seeing in the new customers, any way to frame it as to compare to what you saw from Amazon? It seems like this is giving you all a higher uptick than when you put in the Amazon returns. From what I remember, I think that was low-single-digits. Is that fair? And how do you see that progressing? Thank you.
Michelle Gass: We gave you a number around how many new -- the total number of new customers we acquired, I think it was earlier in this year if we look back at last year, we didn't give you -- I don't think a specific on the percent uptake. Let me just say that with Amazon we continue to be pleased with that partnership as well and we continue to see new customers from that program.  So, we saw that build. I think it’s a little apples and oranges. I mean, Sephora is a whole new piece of business for us. And so, while I guess arguably, they both drive traffic and you can both get the tailwind of the attached purchases. This is fundamentally transforming our brand and our business. We're finally in the beauty business.  It's prestige, it's making us and even more relevant useful retailer. And then on top of that, we're going to build a very big beauty business. There's a lot to like with this partnership. The traffic, getting into beauty and relevancy, the attach that we're already starting to see as Joe was mentioning. And then that traffic coming in. We're seeing a high number of new customers and they're younger and more diverse. So, it's all good.
Dana Telsey: Got it. And then, just any follow up on the active business, given the strength of that business? Are there new brands coming in, or is it the strength of the existing brands that you're seeing? And do you expect that square footage to remain, or do you continue to expand it?
Michelle Gass: Yeah, you bet. So, in terms of overall active, we expect that we will continue to expand that space. And that is one of the moves we made in the 200 doors with Sephora when we did the re-flow. So that will roll out across upwards of 850 or more stores, as we build out those shots. So that plan is going. It's working really well.  The growth is coming off of today as we spoke about earlier, the growth is really coming off of our key national brands so we're seeing great results with Nike and Under Armour, Adidas, Champion added to the mix. And then even on our private brands. So, you have more value oriented private brands like Tek Gear, which has been doing really, really well.  We'll always look for a new brand opportunity if it makes sense. We have a process there. But I will tell you the level of innovation and thinking and newness at these core brands are bringing has never been stronger. So, we're looking forward to that continuing, its central to our strategy going forward.
Dana Telsey: Thank you.
Michelle Gass: Great. Thanks, Dana.
Operator: Your next question is from Omar Saad with Evercore.
Omar Saad: Good morning. Great quarter. Thanks for taking my question. I apologize if you've answered this, but I'm wondering if you guys could share with us the in-transit -- how big of a drag in-transit was on that comp number in the quarter as we think about maybe how the comps could trend when in doing that supply chain, the supply chains bottlenecks open up?  And also, as we think about in-transit and delayed deliveries and things like that, should we be concerned about promotional risk if inventories arrive too late and there be greater need to markdown goods as you -- transitioning from season to season? Thanks.
Jill Timm: Sure Omar. I would say from an in-transit perspective, it was up quite substantially relative to what we had seen historically. So, in multiples of where we had seen it, it just really due to the delay. The good news is it's fresh and, it's clean, and what's coming but obviously the 25% is a little bit of a misnomer because we were down more than that with this in-transit. And then, of course, it's happening in women.  When we talk about women's being notably down more, they were also most hit by the in-transit just given their exposure, as Michelle mentioned earlier, to the fact that they're much more of a proprietary brand portfolio than the rest of the businesses. That is definitely having an impact. In terms of having a promotional risk, I think there's a couple of things.  One is some of these items are fleece. So, they might be coming in late, but they sell well into spring because up here in Wisconsin, it stays cold for a while. So, we know we can sell fleece longer into the season and it's not just ending with January. And then anything from a really relevant I think when it goes into holiday motif type items, if we're not getting them, we actually learned in 2020 how to use pack-and-hold.  And so, there is a place that if we don't have an opportunity to set it and really get a good sell-through season, we'll do a pack and hold on that, given the fact that we don't see a lot of change in that holiday motif type items. So, we'll look at what that looks like impact away versus taking up per markdown right away.  So, I just think we're going to be really smart on what we put through based on what we expect the sell-through, being able to be versus what we pack away and hold to really help us continue to protect the margin.
Omar Saad: Got it. That's actually really helpful. Thank you. And then a quick follow-up. I think you said men's plus 30. Maybe you could dive into that a bit. What's going on there? That's a pretty big number. Is it people getting back on, back to work and that type of activity or is it all in the sports and active wear side? Maybe talk about that customer a little bit too. Thanks.
Michelle Gass: Sure. I'll take that one. With men's, we're really seeing it across the board. We've been talking a lot about Active, but this go back to work and really in the casual styles, that's been resonating. We talked a lot about the brand and it's -- that the women's team did, but the men seem to doubt as well, so that more focused assortments working.  And then a lot of newness. We're in still the early days of some of our most recent, but I say most powerful newness, that we're offering the customer. So, Tommy Hilfiger just said, Eddie Bauer really just said.  So that's all-in front of us. But really on kind of the core private brands like Sonoma, Lands ' End in men's, brands like Hager, Columbia, Apt. 9, we have a great tight assortment and are also working on Levi's. Levi's, it's terrific brand and business for us across all categories and especially for men.
Omar Saad: Got it. Thanks, Michelle. Thanks, Jill.
Michelle Gass: Thank you.
Jill Timm: Thank you.
Operator: Your last question is from Michael Binetti with Credit Suisse.
Michael Binetti: Hey, guys. Thanks for getting me on. Thanks for all the detail here today. I'm just -- I'm curious what you think as you look -- I know we'll get a bigger update on the longer-term for me in March, but I'm curious what you think as we look at lapping stimulus and very, very low level of promotions across the industry this year.  As you get into early next year, do you see the combination of all the noise, Jill, with inventory shortages hopefully getting better in the tough laps? Do you see gross margins as something that need to -- that you can hold onto or do they start -- is it best to think about them coming down a little bit in the early year -- the beginning of the year just due to the compares?  And then, I was curious -- I know you said that the Sephora stores are giving you mid-single-digit lift. Was there any hold back to the total comp for the quarter as you got to think about some of the construction perhaps being a disruption in the stores? And maybe, I know you said you're updating some of the adjacencies and other parts of the stores as well alongside before. Then finally, Jill, just that the buyback, obviously, very big number. I'm curious how you're thinking about that going forward and the leverage you want to run at after this.
Jill Timm: Okay, Michael. That was a lot. I'm going to really try to hit them all.
Michael Binetti: Thanks.
Jill Timm: From a margin perspective, we actually went into the year last year fact, we said we had a strategy and around that strategy was simplifying our pricing and promotions and a lot of the benefit we saw this year was leveraging that strategy. We knew our new customer got confused by the stacking of offers we're able to really drive a simplistic offering which helped us drive margin.  And it resonated. It resonated with that new customer. They really saw keen value in what we are offering them. We've also heightened the offerings through this time. We brought in Sephora and Tommy Hilfiger and Calvin Klein. So, our brand portfolio has also been elevated. So, value is not just in the price, but also the offerings that you see in the store. So, I think as we move into next year, I'm just excited because we just got these.  This is so new at the end of Q3. We have all that momentum as we move into next year. But I think we really reset what our margin needs to look like by being able to take out some of these stackable offers, talk to all these new customers that we're driving into our store with these new brands, and so they could keenly see the value easily.  So, I feel good with some -- with our margin as we move forward. But obviously we'll give you a lot more around that strategy, at our Investor Day next year. I think you hit it on. We did have disruption. I think if you go back, you've been following us for a long time, Michael. When we did remodels, we know the customer when you see disruption, it does have an impact.  You moved the Sephora store to the middle in-center core jewelry moved out. We brought active to the front, moving young women over, so there was a lot of movement. So, I would say there was some disruption that had an impact to our quarter. With that being said, we're incredibly pleased with the mid-single-digit lift we're seeing in these Sephora stores.  And like we talked about that we expect fiscal build as we continue to bring that customer into the store. And as we add more stores into the portfolio so that there. And then in terms of buybacks, I would say is we just see a really long-term value opportunity in our stock. And with that being said, that gives us confidence to accelerate it into this year.  You're going to see the $1.3 billion. We couldn't be more committed to investment-grade, but we generated $1.8 billion of operating cash flow. So, we want to return that back to our shareholders. Through 3 quarters, we returned over $900 million, and obviously, that will grow substantially when we finish up the buybacks this quarter as well.  So, I would say as long as we continue to see that value because Michelle and I and the leadership team have incredible confidence in our strategy and among meant to more going to drive over the long term.
Michael Binetti: Thanks a lot, Jill.
Michelle Gass: Thank you, everyone for listening on the call today. We wish you a healthy and wonderful holiday season, and look forward to speaking with you in early March.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.